Operator: Good day, ladies and gentlemen, and welcome to the AngloGold Ashanti First Quarter 2013 Results. [Operator Instructions] Please also note that this conference is being recorded. I would now like to hand the conference over to Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thanks, Dylan, and welcome, everybody, to our Q1 2013 results. You've got members of our executive team present, including our newly appointed Chief Executive, Venkat. We'll run through normal procedure, which is straight through introductory remarks and highlights for the quarter, future operations and projects, and then Venkat will close off with some concluding remarks on strategy going forward. As is usual, just to kick off with an important Safe Harbor statement. Certain statements contained in this document, other than statements of historical fact, including without limitation, those concerning economic outlook for the gold mining industry expectations regarding gold prices, production, cash costs and other operator results, return on equity, productivity improvements, growth prospects and outlook of AngloGold Ashanti's operations individually or in the aggregate, including achievement of project milestones, commencement and completion of commercial operations of certain of AngloGold Ashanti's exploration and production projects and the completion of acquisitions and dispositions, AngloGold Ashanti's liquidity and capital resources and capital expenditures and the outcome and consequence of any potential or pending litigation or regulatory proceedings or environmental issues are forward-looking statements regarding our operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed in these forward-looking statements. Although we believe the expectations reflected in such forward-looking statements and forecasts are reasonable, no assurance can be given that expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of, among other factors, changes in economic, social and political and market conditions, success of business and operating initiatives, changes in the regulatory environment and other government actions, including environmental approvals, fluctuations in gold price and exchange rate, outcomes of pending future litigation proceedings and business and operational risk management. For a discussion of such factors, refer to the document entitled Risk Factors Related to AngloGold Ashanti's Suite of 2012 Reports on the online corporate report website at aga-reports.com. These factors are not necessarily all of the important factors that could cause actual results to differ materially from those expressed in forward-looking statements. Any other unknown or unpredictable factors could also have an adverse material effect on future results. Consequently, we caution not to place undue future reliance on forward-looking statements. We undertake no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events, except to the extent required by applicable law. All subsequent forward -- or oral forward-looking statements attributable to AngloGold Ashanti or any person acting on its behalf are qualified by these cautionary statements. This communication may contain certain non-GAAP financial measures. We use these non-GAAP performance measures and ratios in managing our business. Non-GAAP financial measures should be viewed in addition to and not as an alternative for the reported results of cash flow from operations or any other measures of performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled measures other companies use. We post the information important to investors on the main page of our website at anglogoldashanti.com under the Investors tab on the main page. We update it regularly. You should visit this website to obtain important information on the company. Venkat, over to you.
Srinivasan Venkatakrishnan: Thank you very much, Stewart. Before we go into the first quarter results, I think the question, which was raised by a number of people, were why did the CFO, who originally said he was not interested in taking on the CEO role, change his mind? A number of factors. Certainly, Chairman persuaded me in my thinking over the period, very good support from the Board of Directors of AngloGold Ashanti and the Eskom team and the wider team within AngloGold as well. And in addition to that, given where we are in terms of the cycle, certainly, I believe I've got the right fit to the job, with the support of the team, to see AngloGold Ashanti through for the next foreseeable future. In addition to that, Tony, who had ruled himself out as a candidate for the job due to family reasons, has been an extremely useful support and mentor over this period. And he also helped me look at this from a different point of view. So there we are. Moving into the first quarter results. Gold price dropped by $82 an ounce quarter-on-quarter. And what we saw is an adjusted headline earnings go up sixfold to $113 million. Admittedly, we came off a strike-impacted quarter. But notwithstanding that, it was a pretty good increase in earnings despite the drop in gold price. With regard to production, production came in just at around 900,000 ounces. It's up from 859,000 ounces from the previous quarter. And it came in within the adjusted guidance. We had an impact of 20,000 ounces as a result of the lightning strike. When adjusted for that, we come in line with our adjusted guidance. Costs at $894 an ounce came in better than the guidance we provided to the market. Most importantly, our 3 key projects, Tropicana, Cripple Creek and Victor in Kibali, are on schedule and on budget. Tropicana is scheduled to pour gold in the fourth quarter of this year; Kibali, at the end of this year; and CC&V expansion starts to come on stream end of 2014, early 2015. And that changes the portfolio mix, the production profile and the cash flow quite significantly. Balance sheet remains robust through this period, with significant liquidity headroom, and the increase in net debt purely matches the project capital spend. And the board has, therefore, maintained a dividend of ZAR 0.50 per share. Very quickly on the operational side, Tony will go through it in detail. South African operations improved quarter-on-quarter. The labor environment here is still tough and it is weighing on productivity. In Continental Africa, the output was impacted by 2 factors, production issues at Obuasi and the Geita mill replacement. The mill is now replaced, but the replacement ran into the second quarter and it took us a little bit longer than what we had originally anticipated, around 6 or 7 days worth of lost production. Americas saw very strong cost control over this period, and Argentina continues to deliver a good performance in a very tough operating environment. And Australia's Sunrise Dam seeing -- starting to see good throughput increases in recent months. And this will flow through into the second, third and the fourth quarter. Moving on to progress on key objectives. If you recall at the last earnings call, we presented that our focus is going to be on cost optimization, at targeted asset sales and capital rationalization. A quick update in respect to each of those. Work is well advanced on cost optimization to basically realize a savings of $50 million in the second half of 2013. We have started trimming cost in corporate, particularly external cost, looking at duplication across the organization, removing potentially layers of work, which are perhaps nice to have but not required under the current climate. What we are not doing, however, is cutting out some of the essential work, which is needed to preserve the integrity of the business. Exploration starts to see tighter focus to reflect the gold price environment and that expenditure is trending lower. And the project being created by -- under the leadership of Ron Largent is targeting realizing savings of $100 an ounce in direct operating costs. Moving on to asset sales. Navachab, we flagged to the market last quarter. And Namibia is going through a sales process. It's in an advanced stage. We have shortlisted potential bidders and it's going through the second round of negotiations. We are hopeful that the sales could be completed by the end of this year. We are also targeting a further asset sale. And I'm sure everyone that you would want to know what that asset we are targeting. Unfortunately, as you'd appreciate, selling mines is not like selling bars of soap. It has multiple stakeholders, governments, communities, labor, unions. We will have the go through a full consultation process. And we do not want to gun-jump the sale by putting it out prematurely. Once this is completed, we will certainly come back and put out a sales announcement. Capital rationalization is in progress. If you recall, we pulled our capital expenditure budget from $2.1 billion -- from $2.6 billion to $2.1 billion. We have suspended the Mongbwalu project and we are targeting exploration around the concession in Mongbwalu. We're looking at options as well. Sadiola expenditure has been slowed down to reflect the current political environment and the gold price environment. And the uranium plant at Mine Waste Solutions has been reconfigured. If I can then turn your attention to Slide #7. You can start to see some of the benefits come through in terms of cost savings. This is the first quarter, and there is a seasonality element involved. But notwithstanding that, corporate costs are down 21% as compared to the previous quarter. Exploration is down 36% as compared to the previous quarter. Cash costs are down 8%. Admittedly, we have come from a quarter which was impacted by the strike. But notwithstanding that, a good result. And capital expenditure is down around 39%. And if you look at the capital expenditure for the first quarter, $512 million, $260 million of that -- $269 million of that relates to project capital. We fully admit that there's a lot more to be done in this regard and our efforts over the next couple of quarters would be to trim down each of these areas one layer at the time. Moving on to the outlook with regard to the second quarter. The outlook, which we are providing to the market, is between 900,000 to 950,000 ounces of group production at $900 to $950 an ounce. The reason for that is we still have production issues at Obuasi, South Africa has got more public holidays and there is always risk impacting South African production over the wage negotiations period. With regard to costs, it's driven around the electricity tariff increase and the winter power tariffs, where this quarter it takes 2 months of winter power tariffs, which are typically higher than the normal power tariffs. The question then gets asked, is the climb into the third and the fourth quarter is going to be steep? Yes, we are aware of it in terms of our annual guidance. But a couple of mitigating factors to be noted is the second half of production includes the step-up coming from Tropicana, production around 115,000 ounces, which we have budgeted. Also the second half of the year tends to be a good quarter for South Africa post the wage negotiations, assuming that there is no industrial action. We're also targeting the Crown Pillar in Sunrise Dam, which should help improve production. And we get the full benefit of Geita's production without any mill change-out. With that note, I'll pass you over to Tony to walk you through our operations and projects.
A. M. O'Neill: Thanks, Venkat. Firstly, if we talk safety, we've had solid trends going into the first quarter. All injury frequency rate of 7.92 is below the 2015 target. Our fatalities compared against the last quarter 2012 were down. But the cold, hard reality of this is that we've had 3 fatalities, and that's unacceptable. Also if you look at our trends really from 2000 -- late 2010 to 2013, although at low-frequency rates, we haven't actually made significant inroads into the fatality frequency rates. The areas that we are focusing on to try and shift that performance, firstly, is in safety capability training. We're putting a lot of effort right across the company, starting at the basic investigation so that people on-site understand what's happened in any incident and find the ways to mitigate, so they don't repeat. Hazard identification and control so that workers at the base start to take control of their own work environments. And leadership overall to make sure that this safety effort is never missed for 1 minute. On top of that, the key area is fatal risk. We have developed 19 major hazard standards, addressing what we think are the key fatality opportunities, if I can put it that way, in the company. We've done bow-tie analysis of all those items, looking at the risks and the critical controls that we need to control all of those elements. We're doing it site-by-site, ensuring that what each site has in place actually complies with our major heads of standards. I guess, overall safety, the broad company has performed pretty well. We've got 2 areas that we would like to see more improvement, and they are Mponeng and Obuasi. In South Africa, regional overview. Solid recovery from the strike last quarter of 2012. We've seen a good uplift in production, notwithstanding the loss of 20,000 ounces to a likely strike at West Wits. Mike O'Hare is taking steps to reduce CapEx and costs and has reconfigured the capital for the Mine Waste Solutions uranium plant, looking at timing of Zaaiplaats, whether new technology or different approach to the ore body will make a difference to our long-term capital spend. Mine Waste Solutions, we've seen good performance since we've purchased it. Funds are up 18% and recoveries up by more than 25%. So certainly, the signs are good that we've made a good acquisition with good cash margins. It should be noted that all the Deep mines in South Africa have a very harsh stress environment. And it's critical that you have continuity of phase movement. So whether it's a safety-related stoppage that we referred to in the slides or it's the industrial relation stoppage, we would need to minimize those because they create a significantly enhanced safety risk that we're really trying to avoid. The regional overview of South African labor. The prevailing industrial environment is having an impact, not only with the underground workforce but where our key managers are having to spend a lot of time simply negotiating rather than concentrating on capital and operating costs and safety. We have to get through this period. And as you can see from the graph, productivities at the back end of 2012 and 2013 are actually quite substandardly lower than our historical norms. So the industrial setting is impacting. It should be noted there are opportunities for a constructive arrangement that benefits all employees of AGA and the South African industry. And it's really incumbent on all of us to try and find a way to weave through that so that we get a good outcome. We've got good constructive relationship with all the unions. If the intent is there from all parties to actually get the outcome, then I think we're well-placed to do that. We've got our best people involved in it and have certainly got detailed plans that they're working to. One thing of note, though, and it's the bottom point, we will not condone any sort of violence, and certainly, violence or intimidation, or illegal behavior. And that's the message that we're sending very clearly to our workforce that there is a limit beyond which they'd better not stray. Continental Africa. Step-down on the last quarter of 2012 largely due to Geita, where we replaced, in a planned manner, a SAG mill. This SAG mill was a legacy item from its original installation some 10-plus years ago. That has been successfully replaced and we expect the current quarter and going forward to return to normal. The Geita in the dropdown represents between 60,000 and 70,000 ounces. Obuasi stepped down a little, given the ore mix in front of it. But we expect that to improve this quarter. Siguiri had a good quarter with costs and improved grades and productivities. And Sadiola is on a watching brief on the Deeps projects, given the security and political situation in Mali. And we'll update the market going forward when we have something to say about that. Obuasi underground. As Venkat mentioned, it's a bit like Blue Hills [ph], it's a story that goes on forever. But I could say 5 years ago when I joined the company, we did look at putting in a decline into the Obuasi mine to achieve a number of things. One was to debottleneck the mine away from current infrastructure; to allow access to ore bodies that the current infrastructure didn't access; to allow the consolidation of production areas for multiple -- down into around 6, allowing more effective productivity and utilization of equipment; and ultimately to allow the workforce to be retrained, reequipped in modern mining methods. For some legacy reasons, it's taking quite some time to get us to the space, in particularly, where we had the removal of a legacy mining contractor in the second half of 2012. That's happened, and it's allowed us now to push forward on the decline concept. It's a continuation of the strategy. Probably, I'd say, it's an acceleration of the strategy. And we would hope that in 3 years, we've got a mine that's producing significantly more than we currently have. And we'll be stepping forward, I think, with extra ore from the decline position in around 6 months. Step forward 2 slides on to the Americas. A very solid performance. Argentina standout with the strong silver by-products in a difficult inflationary environment. But I think it's worth saying that some of the restrictions that we were having in Argentina, we are now managing to work around. Serra Grande in Brazil is looking better from a -- particularly from a resource perspective. And we've got early indications of grades and ore positions that will allow us, in time, to step from the 120,000 ounce current rate closer to in respect to its historical rate of around 200,000 ounces. Cuiabá is the one disappointment in the Americas over the quarter. We're going through a lower-grade area picked up by drilling. We will work through that. It's in front of us and we have no choice. It's a key mine for us, it's significant upside in certainly output. And we're paying real attention to the base inputs and productivities that we think are a leverage point to that improvement. Australia, a solid quarter, slightly higher than quarter 4 2012. The key to Sunrise Dam, as Venkat alluded, was the Crown Pillar at the bottom of the pit and the top of the underground workings. This is higher-grade, quite large tonnage. It is somewhat technically complex. But the operation has a very good plan and a lot of detail in it. And we believe that we will be able to extract that pretty efficiently. The numbers that we've included in our forecasts are very considered and we believe quite conservative. Projects. Tropicana is on track, with first production in quarter 4 2013. It's progressing very well and we're getting to the stage now, where we're putting cable and putting in pipe work. It's on time and on budget. And while this construction is heading towards completion, focus is now swinging towards a detailed ramp-up and planning for commissioning that we will need as soon as the plant is essentially finished. So we're very hopeful that once it pours gold, it will go up the curve very, very rapidly. The DRC. Kibali, being managed by Randgold. It's on budget and scheduled to pour the end of 2013. The open pit is going well and will be the initial mainstay for production. Of real interest for us is the underground. This is under way, and it really provides the access to the higher grades that drive the economics of the project. So the sooner we get into the project, then essentially the higher the value of the business. We have made that output well-known to Mark Bristow. And he's certainly acting in accordance with our agreement. Americas. Cripple Creek, the MLE II, a new project. It will pour gold in 2014. Seasonal, essentially you can only construct in the summer periods. 70% of the key items have been purchased, so we've got confidence about -- around the broad number of the capital. The design is nearly -- is in the 90s in terms of complete. So we're confident that we've got a good grip on it. All these projects go [indiscernible] ultimately on execution if we haven't put the work into them. We have, we've got a crew that have constructed previously at Cripple Creek. And we believe that this project will be delivered on time and on budget in 2014. And finally, from the South, technology update. We've had some good progress in quarter 1 in South Africa, with 4 additional holes. The rates, drilling rates are really coming up so that their hold time is lower. And we're getting close to really economic productivity rates. This technology is a game player [ph] for all mines with similar ore bodies to us, not only us in South Africa but includes the platinum mines. It's in very capable hands under Mike O'Hare and Shaun Newberry. The challenge that we've now got is for Shaun and Mike to take all the independent activities and unite all of those into a consolidated system. We've got an aggressive approach. And I think Venkat, going forward, will give you an update of the schedule into his numbers.
Srinivasan Venkatakrishnan: Thank you, Tony. Now quickly moving on to the balance sheet. Our liquidity position is strong. And as you know, AngloGold Ashanti has always been proactive when it comes to balance sheet management. Our net debt-to-EBITDA, which is the single financial covenant in our banking facilities, is currently sitting at 1.06x and it's well within the banking covenant limit of 3x. Our project capital expenditure peaks this year, and you'll see that in the slides coming later on in the presentation, and is expected to decline once Tropicana and Kibali start contributing. Net debt, which is currently sitting at $2.3 billion, is really moving in line with the project capital for these projects before it starts to trend lower. Our main debt facilities remain largely undrawn and there is around $3.5 billion -- $3.4 billion of liquidity available for AngloGold Ashanti. But we wouldn't be drawing all of that or a large chunk of it, but it's available should the company need it. In addition to that, there is the convertible, which is -- which falls due for maturity, $732 million in May 2014. In response to questions from a number of you, there are no plans to issue equity or equity-linked instruments presently to refinance the convertible bonds. We do have a backstop bridge loan facility, which is available for draw for that purpose. We have no hesitation in using it or we will look to refinance that maturity in the vanilla debt market. But it's available as a backstop. And given the gold price movement over the last couple of months, our business plans are being modified to reflect the lower gold price environment, but at the same time, preserving the optionality to move the plans around should the gold price go up. Currently, we are looking at around $1,300 gold price as 1 scenario and $1,500 as potentially the upside scenario. Moving on to the next slide. We do have a robust balance sheet. And in there, you can see a breakdown of the $3.4 billion of liquidity headroom, which is available for the company's disposal to be used as appropriate. The next slide is quite important, Slide #26, which really maps out the project capital expenditure in relation to the 3 key projects, which is Tropicana, Kibali and Cripple Creek & Victor. And when you look at the 2 main bar charts in there, 2012 and 2013, you can see much of the net debt increase that you have seen recently has come from these 2 projects and also from the recent cash-generative acquisitions, Mine Waste Solutions and Serra Grande. Post-2013, the project capital spend on these projects come down, obviously excluding any rollovers. But at the same time, we start to see close to 500,000 ounces of cash-generative production come on stream. So currently, given the gold price, one sees EBITDA going down and net debt going up. What you will see in 2014 and beyond is obviously net debt coming down and cash flow going up from these operations. That would be a change as compared to what we saw in 2012 and '13. Moving on to the last slide, our imperatives. The number one imperative is maximizing our sustainable free cash flow from a high-quality portfolio, but at the same time, maintaining the integrity of the business. We have done a lot of hard work over the last 4 or 5 years putting systems in place, processes in place, particularly Project ONE. Those items of good work will remain and will be rolled out. There will be far greater focus on cost management using Project ONE and using Ron's team, which is dedicated to get $500 million out of the system, roughly $100 an ounce in terms of our direct operating costs. That's not production improvements, it's purely cost-based. In addition to that, no stone is left unturned in terms of corporate costs and in terms of exploration spend. So those are the basics which are going to happen. Right through, we will not be compromising on our safety. What we will do and improve and do better is use our portfolio and the capital expenditure allocation tool as a key management tool to deliver value from our portfolio. If you look at our portfolio through our class of assets, which are highly cash-generative, strong track record of delivering free cash flows, good outlook going into the future, we will continue to nurture them. Our second category of assets, which involves a fair amount of turnaround work, which may be needed, or investment to open up further value, we will fund those but under a very tight capital expenditure leash. The final category are assets which probably need to be restructured or sold, and we're not emotionally attached to any of those assets and we look at selling or restructuring them accordingly. And we have got a balance sheet that fills all of the environments. Post Tropicana and Kibali coming online and CC&V coming online. The game changers as far as the South African operations and the international operations are concerned is the technology initiated in South Africa. A number of people were skeptical about the technology initiative. And as we can see, we have demonstrated in TauTona that it can be effective. Mike O'Hare and Shaun Newberry are rolling it out. In terms of the other mines, this has got ability to double our South African reserve base. Then the next game changer is obviously Colombia, a huge district. Here, the question which people raise is whether you're going to generate all of the free cash flow in 2014 and put it all back into Colombia. We are looking at alternative options for Colombia. And if appropriate, we would look at our partners coming in to join us with regards to the Colombian investment to ensure that we keep the returns for the shareholders and balance sheet well preserved. Right through, we will be decisive and we will deliver on all of our key objectives. We appreciate that the gold industry over the next couple of quarters is going to face tough times. And AngloGold Ashanti is going to be no exception. It does take time for some of these cost initiatives and cost cuts to come through. But rest assured, we are determined to manage this tough environment. Finally, one key message, ladies and gentlemen. If you look at our portfolio of 21 mines and you compare it to our logo of the lion, inside that is a very hungry, energetic, cash-rich lion waiting to come out. As management, our job is to pull that lion out and unleash it to the market to deliver a better return to our shareholders and that we will. On that note, I pass you back to Stewart.
Stewart Bailey: Thanks, Venkat. Dylan, the queue for questions, please?
Operator: . [Operator Instructions] Our first question comes from Harry Mateer of Barclays.
Harry Mateer - Barclays Capital, Research Division: Venkat, congratulations on the new role. There are 2 topics that I'd like to touch on. I guess, first, are you able and/or willing to comment on the report last month that suggested AngloGold made a proposal to the government regarding a potential separation of the company? And if you're not willing to comment on that, can you at least update us on your thoughts about the potential viability of such a transaction now that you're CEO? And then secondly, with respect to the convert that comes due next year, given you expect to have free cash flow after Tropicana and Kibali come online, is putting that covert on your bank line and then perhaps paying it down over time an option you'll consider instead of simply refinancing it and making it part of your permanent debt capital structure?
Srinivasan Venkatakrishnan: Yes, I can answer both questions. Let's start with the second one first. We are conscious of timing of asset sales coming through as well before the maturity of the debt. In addition to that, there is going to be cash flows coming from Kibali and from Tropicana. That's one of the reasons why we wanted to back-stop that convertible with a bridge facility, so we keep our options open. The bridge is available for draw. It's available for 6 months from May 2014. And at our own option, at our sole option, we can roll it for a further 6 months. So we will look at that option rather than actually hardening gross debt, if that's the question you're raising. With regards to the comment which was made in the press, we certainly saw that comment. We don't comment on speculation, as you'd appreciate. We do have discussions with our regulators all the time. We've been having it since 2004 on a variety of issues. And at this stage, there's no further comment we can make to the article. With regard to your specific question on the split, one has to say you can never say never. But certainly, looking at the empirical trading data, which we have seen based on a split, which has been done recently, and it was announced, as I recall, on the 26th of November, and it's been listed since 11th of February, we are trading pretty much neck-to-neck as compared to the combined entity. So I'm not convinced the corporate finance solutions really gets very far until you've actually addressed the underlying issues impacting on the portfolio and the drivers of the operation. And that is where the key focus is right now, which is basically pulling the cost base down, getting quality ounces into production and realigning the portfolio to make it a high-quality portfolio so that this lends itself to multiple other options later on. And that's really the focus at present.
Operator: Our next question comes from Terence Ortslan of TSO & Associates.
Terence Ortslan: Congratulations for your new responsibility. Just on Colombia. I'm kind of caught by surprise that you're considering such a major asset to open the participation for other corporations or partners. Because given the ounces and potential, why would you be concerned? And if that's the case, is that a management issue? Is it a capital issue? Or is it a local host country issue that you're addressing -- try to address by this partnership?
Srinivasan Venkatakrishnan: Okay. Let me answer that question first, and then I'll ask Charles if he's got anything to add to it. Firstly, we are not looking at a lock, stock and barrel partnership with regard to Colombia. Colombia has got huge potential. There are various parts of the concession which naturally lend itself to partnership and, hence, the qualification. As and when appropriate, we will look at partners for Colombia, so we are not going into Colombia with 1 partner on the whole lot. That's the first factor. Second factor is that by partnering certain parts of the landholding which we have in Colombia, particularly given the nature of the ore bodies there, we might be able to use that earn-in cash which is coming in to fund the exploration in some of our key projects in Colombia. So it will be a combination of both. And the key here is to ensure that we daylight some value for our shareholders going into 2014. So it's a combination of all of those. Charles?
Charles E. Carter: I mean, the thing I'll just add to what Venkat said is, firstly, partnership is not new to us in Colombia. We've been partnering with B2Gold in Gramalote and we have exploration JVs with Glencore, amongst others. I think the point here that Venkat is making is as we stand up, value, line of sight on new projects, we have to have a hard look at how much of that we want to fund ourselves and how much of that we potentially want to open up to co-funding. And that can obviously take multiple different forms. So this is not an address to find a partner for Colombia. But it is to say -- and we are making good progress on projects like La Colosa. The question further down the road for us is going to be do we want all of that for ourselves or do we want to look at a long-term strategic partner, bearing in mind that's a 40-plus year prospect. That's where the thinking starts to take form. I think it's early days. And obviously, for our shareholders, we're not looking to give up value prematurely. We have to give our investors line of sight of the opportunities in the value creation. And we have do that mindful of a constrained gold price environment in the near term. So those are the tradeoffs. But there's no mad rush to give away value. There is a strategic hard look at the long-term prospectivity and how to realize that both for ourselves, for our shareholders, our current partners and our potential partners. And the most important thing is that the country starts to see is build of real projects in Colombia. So that's the debate under way in the management team.
Terence Ortslan: Can I ask you one more question, please, on Mali and Sadiola specifically? On Mali, is there a focus change on Mali, number one, given the circumstances, although it seems to be very isolated in terms of political issues? And two, on Sadiola, with the gold price environment at your partnership, is there a change in your management and board direction on future of Sadiola?
Srinivasan Venkatakrishnan: If I can come in here, then Richard or Tony can supplement. With regard to Mali, given the current political situation there and gold price and our own capital expenditure requirement, it's perhaps the appropriate decision to make to slow down the spend in terms of Sadiola. And that's what we have planned at the end of the first quarter. It's not something new we have done. It's something we put up at the -- in February, when we announced our half yearly -- our annual results. So all we have done is implemented that. We have kept the options open. We have always said perhaps where Sadiola is, it makes sense to come up with some sort of consolidation. But having said that, we continue with our dialogue with our joint venture partners and we continue to look at the political landscape in Mali and the gold price environment with regard to the Deeps project.
Operator: Our next question comes from David Haughton of BMO.
David Haughton - BMO Capital Markets Canada: Congratulations on the CEO role. I've got a couple of questions. Firstly, if you could help us think through your key areas of savings to get your $100 per ounce. Are there are a couple of things are looking at in particular that would help you get there?
Srinivasan Venkatakrishnan: Okay. It's a lot of areas. Fundamentally, on procurement, that's one aspect. We are looking at mining as well. And in terms of areas of processing, it cuts through right across the chain. And, Tony, do you want to add?
A. M. O'Neill: On top of that, there's reliability. There's a large chunk [ph]. And at some point in time, as Venkat alluded to earlier, we will obviously have to look at the way the organization is structured. And we're actually working on that at the moment.
David Haughton - BMO Capital Markets Canada: Would that also entail shutting in the higher-cost operations, pulling back on the number of ounces produced, for instance, focusing on grade?
A. M. O'Neill: We are focusing on cash flow for the business. But in the $100 an ounce that Venkat referred to, that is taking underlying costs out without shutting businesses.
David Haughton - BMO Capital Markets Canada: Okay. Tony, while you're on the line...
Srinivasan Venkatakrishnan: Just to clarify. Over an 18-month period, that's just to clarify.
David Haughton - BMO Capital Markets Canada: Okay. There's 18-month target.
Srinivasan Venkatakrishnan: Yes.
David Haughton - BMO Capital Markets Canada: Tony, just following on from your discussion on Obuasi, I heard about the restructure and the change of operator underground, et cetera. Would you be able to give us some guidance as to what you'd expect from Obuasi for 2013 and then into 2014 and what you think the longer-term potential is for the production there?
A. M. O'Neill: I think I'll leave it for Venkat to give the shorter-term guidance. But Obuasi ultimately is a 500,000-ounce-a-year mine. The question is when do you daylight that production.
Srinivasan Venkatakrishnan: Yes. With regards to the shorter-term target, David, we have not given out numbers for 2014 and beyond. But if you recall, our outlook was around just close to 290,000 ounces. We're probably going to be around 260,000, 270,000 ounces for Obuasi, roughly, for the year.
David Haughton - BMO Capital Markets Canada: Okay. And thinking now about the DRC, you've got -- Mongbwalu is delayed. Should we think about removing it? Is it just simply a putting it on ice for now? Or is it a complete reconsideration as to whether you want to press ahead or not?
Srinivasan Venkatakrishnan: It is certainly putting it on ice for now, David. What we'll have to do is to come back to you within a 3-month period and let you know where we stand on Mongbwalu. At this stage, we have suspended the project area. It's not sterilized. We're exploring the product concession. We should have an update to you within the next 3 to 4 months.
Operator: [Operator Instructions] Our next question comes from Daniel McConvey of Rossport Investments.
Daniel McConvey: Congratulations on becoming CEO. Two questions, I'll ask them one at a time. First is on the CapEx and operating costs. The pressure on costs is falling off. Now I just wondered where -- and you mentioned procurement. But what areas do you see the most opportunity to reduce CapEx and operating costs, and where? What regions are you seeing the most opportunity right now?
Srinivasan Venkatakrishnan: With regard to procurement, yes, you're absolutely right, the pressure has come off. Where we are focusing on is those commodities, those which we call strategic commodity. Following the 70%, 30%, 10% rule and focusing on those, there we see good value coming through. In addition to that, where -- what we are also looking at is putting in better structures around the operating regions and at corporate to get better negotiations across the commodity chain across the whole group. Tony?
A. M. O'Neill: And to add to that, you asked about capital. Essentially, we're going back -- for the moment, we've actually stopped all capital other than the project capital that we have. And we're basically going back and reanalyzing every project to take money out of them before we go ahead and approve them.
Daniel McConvey: Okay. Yes. What I was thinking was, though, just in terms of contracts, et cetera, I just think -- I'm guessing there's a lot more bargains and reduction opportunities with contractors and suppliers.
A. M. O'Neill: And certainly, that's what's been seen across the globe, the renegotiation of contracts. And we're no different.
Daniel McConvey: Okay. Second question, Venkat, your strategy is understandable just in terms of keeping the balance sheet strong, getting rid of noncore assets, sticking to basics, that whole bit. The only thing is that, that is something we're getting a lot of right now. And there seems to be a buyer's strike on assets. And although you have a lot of opportunity in Colombia and everything else, it would seem that it's a great time to take advantage of other opportunities for other people divesting assets. Why not look at strengthening the balance sheet, get -- maybe issuing equity for the converts, so doing whatever it takes to take advantage of some of the -- maybe the jewels that are going to come across this period of time when there's a lot of distress in the industry.
Srinivasan Venkatakrishnan: Daniel, I think one genie straight back into the bottle, issuing equity at currently no chance, even if it's for acquisitions. No way. Certainly, from a balance sheet point of view, it's not that we are constrained. Really, the decision is driven around how you can extract better quality out of this portfolio. What we do have an idea that this music is being played by everyone of the companies, and that's fair comment to make. But in our case, we've got 2 projects bringing on over 500,000 ounces of gold within a 6- to 9-month horizon. And all of these coming in at around cash cost of just below $700 an ounce. That brings in the free cash flow we need. And this is coming in without any CapEx blowouts. And I think that's fairly unique. From AGA's perspective, we do have that lever, which we pulled into 2014. If we generate cash and there is surplus after satisfying our balance sheet requirement, returns to shareholders and if there's a value-accretive asset there which we can get into but at an entry level at low cost, we could look at it. But certainly, putting equity on the table for an acquisition now, no chance.
Operator: Ladies and gentlemen, our last question is a follow-up. It comes from Henry (sic) [Harry] Mateer of Barclays.
Harry Mateer - Barclays Capital, Research Division: Just one more for me. Can you give us a sense for what pro forma for Tropicana, pro forma for Kibali comers online? What is your sustaining capital needs look like a couple of years out?
Srinivasan Venkatakrishnan: Can I come back to you on that one, Harry? Because you're asking for forward-looking sustaining CapEx. I do have it, but right now with me. We can come back to you. But chunk of the CapEx is really in the project capital. The sustaining capital shouldn't be a huge number. But I'd rather give you the correct estimates going out into the future rather than guessing right now. Most of the capital is, in fact, front-loaded. The sustaining capital fees is not a big number. What we do have in Kibali is probably the capital that goes into '14, which is underground capital, which is already in there in terms of the numbers in the slide, which we have put in the back.
Operator: Gentlemen, that was our final question. Do you have any closing comments?
Srinivasan Venkatakrishnan: Dylan, other than to say thank you very much to everyone who was on the call, we look forward to speaking to you in 3 months time with hopefully further updates in some of these key milestones.
Operator: Thank you, sir. On behalf of AngloGold Ashanti, that concludes this conference. Thank you for joining us. You may now disconnect your lines.